Operator: Hello ladies and gentlemen. Thank you for participating in the Fourth Quarter and Full Year 2020 Earnings Conference Call for FinVolution Group. At this time, all participants are in listen-only mode. After management's prepared remarks, there will be a question-and-answer session. Today's conference call is being recorded. I will now turn the call over to your host Jimmy Tan, Head of Investor Relations for the company. Jimmy, please go ahead.
Jimmy Tan: Hello everyone and welcome to our fourth quarter and full year 2020 earnings conference call. The company results were issued via newswire services earlier today and are posted online. You can download the earnings release and sign up for the company's e-mail alerts by visiting the IR section of our website at ir.finvgroup.com. Mr. Feng Zhang, our Chief Executive Officer; and Mr. Jiayuan Xu, our Chief Financial Officer will start the call with their prepared remarks and conclude with a Q&A session. During this call, we will be referring to certain non-GAAP financial measures to review and assess our operating performance. These non-GAAP financial measures are not intended to be considered in isolation or as a substitute for the financial information prepared and presented in accordance with U.S. GAAP. For information about these non-GAAP measures and reconciliation to GAAP measures, please refer to our earnings press release. Before we continue, please note that today's discussion will contain forward-looking statements made under the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such the company results may be materially different from the views expressed today. Further information regarding these and other risks and uncertainties are included in the company's filings with the U.S. Securities and Exchange Commission. The company does not assume any obligation to update any forward-looking statements except as required under applicable law. Finally, we post a slide presentation on our IR website providing details of our results for the quarter. I will now turn the call over to our CEO, Mr. Feng Zhang. Please go ahead sir.
Feng Zhang: Thank you, Jimmy. Hello everyone and thank so much for joining us today. First of all on behalf of FinVolution I would like to express my sincere appreciation to our shareholders and stakeholders for all of their support over the past year. 2020 was an extremely unusual year with enormous challenges. However, despite the economic uncertainties created by the pandemic and the fast evolving regulatory environment in which we operate I'm proud to say we have done remarkably well by strategically shifting to better quality borrowers we delivered a solid financial performance over the past year. With the clearance of P2P balances and 2020 behind us our focus for 2021 will be on resuming high quality growth. After a strong recovery in the third quarter we continued on our upward trend in the fourth quarter helping us close the year on a strong note. For the fourth quarter our average IRR was 26.4% with loan origination volume increased by 24% from the previous quarter to RMB21 billion exceeding the top end of our guidance range of RMB20 billion. We attributed these gains to our strong strategic execution, our industry-leading technological capabilities and our sophisticated and prudent approach to risk management.  We have successfully completed our strategic transition towards better quality borrowers as evidenced by the significant improvement in our delinquency levels. Equipped with our framework for enhanced risk assessment and management we were able to continue decreasing our funding costs while simultaneously increasing the number of institutional funding partners allowing us to maintain ample diversified and stable funding sources on our platform. It is encouraging to see our strong growth momentum continue as we enter into 2021. Both [side] by our prudent approach to risk management and our industry leading risk management capability we saw further improvement on multiple key risk metrics. For example our day one delinquency rate was 5.2% in February 2021 compared to 12.5% during December 2019 before the COVID-19 outbreak primarily due to our transition towards high quality borrowers and effective risk management capabilities. Our vintage delinquency rate is expected to fall below 3% in the fourth quarter compared to around 6% in the same period in 2019. Going forward we expect our vintage delinquency rates to maintain at similar levels in 2021. Notably our 30-day loan collection recovery rate continued to stabilize at over 90%. Portfolio vertical delinquency rate for all outstanding loans on our platform is also at a new historical [roll]. For example delinquency rates that are 15 to 89 days past due improved to 1.38% compared to 5.6% in the same period last year. On the funding side, funding on our platform remains stable and ample with growing numbers of institutional funding partners. The number of our funding partners increased steadily to over 50 as we continue to attract new partners on board. Our quality assets have spurred a strong demand from institutions to facilitate loans through our platform. With our strengthened risk management capabilities as well as better credit profiles of borrowers we further lowered funding costs. The cost of funds on our platform fell to 7.5% in the fourth quarter compared with 10% in the same period last year. With regards to the CBIRC's notice on further regulating commercial banks online landing business the new restrictions are focusing on the joint lending model. We do not rely on the joint lending model to operate our business. Instead, we are empowering our financial institutional partners through a loan facilitation model in which funding partners provide 100% of funds for loans to borrowers. As our funding partner is highly diversified with a mix of internet banks, private banks, consumers finance companies and trust companies the new CBIRC regulations impact on our domestic online lending operation is minimal. Now I'd like to share a little more about our new strategic initiatives specifically on how we plan to leverage our technological capabilities and the industry know-how to propel further growth for our company. Powered by our strong technological capabilities and the credit risk assessment framework we have also diversified our loan business into the micro enterprise segment. In 2020 we originated RMB3.7 billion in loans to over 220,000 micro enterprises. This year we plan to extend such a loan facilitation services to further cater to the operating needs of small businesses. We believe offering financial support for MSE will help fuel the growth and prosperity of the overall economy which is also in line with the regulatory guidance in China. In 2020 our micro enterprise loan volume accounted for around 6% of our total loan volume and we expect this portion of our business to account for about 20% of our loan origination volume in 2021. Our international expansion is progressing rapidly with Indonesia market leading the growth. Our Indonesia operations which today represent the majority of our overseas business gain the further traction with better than expected loan volume growth. Loan origination volume for Southeast Asia in the fourth quarter increased by 100% to RMB535 million compared to the previous quarter. Over the past two years we have obtained a peer-to-peer lending license from the financial services authority of Indonesia and a capital market services license from the monetary authority of Singapore. These developments are significant for us as we believe that Southeast Asia will be a fast-growing market. We will continue to harness state-of-the-art technology as well as our deep industry expertise and experience to make financial services more accessible for users in the [digits]. In light of evolving market dynamics our business remains solid with strong loan recovery growth that started in the third quarter of 2020. The performance was supported by our technological capabilities and effective execution of our plan and strategy. With a successful transition to higher quality borrowers we now expect our loan volume to be in the range of RMB100 billion to RMB120 billion in 2021 representing an increase of 56% to 87% year-over-year. In summary, our resilient performance in 2020 lays a solid foundation for us to drive further growth. Looking ahead in 2021 we remain dedicated to controlling credit risk with our technological capabilities given on our proven track record in technology innovation, prudent risk management and responsive measures taken to navigate challenging economic and credit cycles. We are well-positioned to capture the immense potential in China's consumer and micro enterprise markets as well as Southeast Asia's Fintech markets to deliver long-term value for our shareholders. With that I will now turn the call over to Jiayuan Xu who will discuss our financial results for the quarter.
Jiayuan Xu: Thank you Feng and hello everyone. In the fourth quarter, I made a recovering community environment in Mainland China. We delivered the non-GAAP operating profit of RMB593 million representing an increase of 34% year-over-year and further demonstrating the resilience of our core business model. Our balance sheet remains strong with RMB4.6 billion in unrestricted cash and short-term liquidity. Leveraging our strong technology capabilities we look to capture new opportunities arising from consumer finance markets both in Mainland China and Southeast Asia as we continue to expand and deepen our relationships with business partners. Now turning to the financial results for the fourth quarter. In the interest of time I will not walk through each item line by line on this call. Please refer to our earning release for more details. Net revenue for the fourth quarter of 2020 increased by 50% to about RMB1.85 billion from RMB1.23 billion in the same period of 2019 primarily due to the adoption of ASC 326 at the beginning of the year and the increase in loan volume. Loan facilitation service fees increased by 19% to RMB643 million for the fourth quarter of 2020 for RMB539 million in the same period of 2019 primarily due to the increase in loan origination volume which was partially offset by decrease in the average rate of transaction fees. Post facilitation service fees decreased by 36% to RMB176 million for the fourth quarter of 2020 from RMB276 million in the same period of 2019 primarily due to the declining of any loans serviced by the company and the growing impact of the deferred transaction fees. Guarantee income was RMB667 million for the fourth quarter of 2020 due to the adoption of ASC 326. Net interest income decreased by 36% to RMB204 million for the fourth quarter of 2020 from RMB370 million in the same period of 2019 mainly due to the reduction in outstanding loan balance of consolidated charge. Other revenue increased by 60% to RMB162 million for the fourth quarter of 2020 or RMB101 million in the same period of 2019 mainly due to increased customer referral fees to third-party service providers. Non-GAAP adjusted operating profit which excludes share-based compensation expenses before tax was RMB630 million for the fourth quarter of 2020 representing an increase of 38% from RMB445 million in the same period of 2019. Net profit was RMB497 million for the fourth quarter of 2020 representing an increase of 21% compared to RMB413 million in the same period of 2019. Our core business model is based on the loan facilitation model whereby the institutional funding partners on our platform provide 100% of the funds for loans to borrowers and our role is to provide value-added service to the funding partners as well as provide borrowers access to credit. We have a well-capitalized balance sheet and our leverage is conservative. If you divide the total of outstanding loans on our platform of RMB26 billion by our shareholders equity, the leverage ratio across the business was only 3.2 times and our liquidity position remains strong with about RMB4.6 billion of unrestricted cash and short-term investments at the end of December 2020. Our strong balance sheet enables us to be well-positioned in the current environment and gives us significant flexibility. We have continued to return value to our shareholders through dividends and share buybacks. In the first quarter we have deployed $30 million to buy back our shares. As of December 2020 we have cumulatively deployed U.S. $129 million on buybacks. Our board has also announced a dividend of U.S. $0.17 per ADS for fiscal year 2020 for our shareholders. This is our third consecutive dividend declaration which reaffirms our confidence in our business model. Our core capabilities and the long-term market potential. Since we began our share buyback and dividend initiatives in 2018 we have cumulatively deployed U.S. $272 million in this regard. With that I will conclude my prepared remarks and we will now open the call to questions. Operator please continue. 
Operator: We will now begin the question and answer session. [Operator Instructions] The first question comes from Hanyang Wang with 86Research. Please go ahead.
Hanyang Wang: [Foreign Language] Let me try to take my questions. My first question is regarding on the Hong Kong release team. So any plan or timetable for that will be helpful. My second question is on take rate. So will we continue to reduce take rate in 2021 and the last question is about overseas business. So how we measure the timing in Southeast Asia and what will be the proportion of the overseas business in terms of participation volume in the next several years and what our primary business model and how we measure risk in the area assuming profiles is different. Thank you.
Feng Zhang: Okay. We have made the requirements for secondary -- on the Hong Kong stock Exchange and the company is too exploring the possibility as this is due very early stages. We will only update market when we have further updates from our side.
Hanyang Wang: [Foreign Language]
Jiayuan Xu: Okay. Let me do the translation first. Okay, let us -- some pricing. The four times LPR – product lending and it's not applicable for us -- using the loan facilitation model. And from this perspective we have the flexibility to adjust our pricing. However, the decision on my adjustments is dependent on several factors such as the economic development, the level of customer satisfaction, and the level of rates etc. We will need to consider all these factors before making any changes.
Hanyang Wang: [Foreign Language]
Feng Zhang: Okay. Apart from pricing, we also need to consider other factors such as the REIT and our funding cost. For example we have really -- market our funding cost is expected to be below 7.5 and our REIT is expected to be below 3% and from the take rate point of view we are confident to maintain the guaranteed rate at 4% as we have the capability to reducing funding cost and further improve delinquency rate.
Jiayuan Xu: I will just quickly add the 4% number if you do the exploration, if you do the math it is risk, it is basically based on our content pricing which is between 26% to 27% and 7.5% of funding cost and 3% cost. So it is based on these numbers. They come out with take rate of about 4%. Now as Zhang has mentioned the regulation has clarified the Supreme Court has clarified that the four times LPI pricing gap doesn't apply to our business model. So in that case we do have flexibility and we do have room to further adjust our pricing upward or downward, upward on the take rate side which is at that color.
Hanyang Wang: [Foreign Language]
Feng Zhang: Okay. Let us recap on the situation in Southeast Asia. Our Indonesia market is leading the growth and we have also entry into other countries such as Philippines and Singapore. We will continue to keep -- of the local regulation developments and keep our operations within the limit of the regulatory requirements. For example, we really have a P2P license in Indonesia and our every loan tenure is between one to two months. 
Hanyang Wang: [Foreign Language]
Feng Zhang: We will continue to expand our market share in Indonesia as we think there is a lot of potential in Indonesia. It is just like China from a few years ago.
Hanyang Wang: [Foreign Language] So what are the main competitors in the Southeast Asia market in terms of the loan facilitation business model? Thank you.
Jiayuan Xu: Okay. [Foreign Language]
Hanyang Wang: [Foreign Language]
Feng Zhang: The Indonesia market is too very early stage and we do have the confidence and capabilities to repeat our success in China over -- Southeast Asia market and by the way, I just want to add that we are constantly among the top three fintech apps in Indonesia market.
Hanyang Wang: [Foreign Language]
Operator: Our next question is from Alex Ye from UBS. Please go ahead.
Alex Ye: [Foreign Language] I will translate my question. I have three questions. First one is how long -- so the loan growth guidance of 120 billion -- strong growth. So I am wondering how to achieve that growth because it looks like our new customers growth momentum is still haven't returned to a high level yet. I am wondering, do we plan to like activate our customers and increase the contribution from higher to strong growth. The second question is on your MSE loan target. You are going to rate the MSE loan contribution to 20% in 2021, could you share with -- this kind of [Indiscernible] and in addition how does the risk adjusted return of that MSE loan compare to your consumer credit and finally on your six month appreciation cost, there has been a rising for the past three quarters was probably driven by higher quality customers strategy. I am wondering whether that kind of a high customer constraints cost is really the future. Thanks.
Feng Zhang: [Foreign Language] In order to achieve the target of between RMB100 billion to RMB120 billion we need both the new and old customers. For example in the fourth quarter our new customer was around 370,000 and this is the 50% increase compared to the three quarter and already at the similar levels compared to the fourth same period of 2019. And actually in December this level is actually growing very fast and we expect the trend to continue in 2021.
Alex Ye: [Foreign Language]
Feng Zhang: Okay. The new customers are more acceptable to our brands as we realize that they are actually more registrations actions from these new customers.
Alex Ye: [Foreign Language]
Feng Zhang: We have also seen similar trends with our old customers as we have noticed repeat borrowings actually increase.
Alex Ye: [Foreign Language]
Feng Zhang: Our growth in the past two years has been slow but prior to 2018 we have enjoyed very rapid growth during the last two years we have been occupied with the P2P at the entrance. We have P2P exist and the transition to better quality borrowers. We have successfully achieved both of these targets and both of these targets has been complete we have the ability to resume high quality growth in terms of loan origination volume.
Alex Ye: [Foreign Language]
Feng Zhang: We have been acquiring our new customers through diversified of online/offline channels. For the online channels we are acquiring them through information.
Alex Ye: [Foreign Language]
Jiayuan Xu: Our customer acquisition cost in the fourth quarter on the CPS basis is 500 plus similar to the level in Q3 but do remember that the fourth quarter was also impacted by the event.
Feng Zhang: Yes and going forward. Therefore Q4 the cost will be little bit higher because of the e-commerce they have a lot of advertisements because of the year end events. And we are confident going forward that our CPS, our marketing cost will be controlled at the similar level and given the better quality borrower base and lower loss rate as well as lower funding cost. Such a CPS level we think it is very healthy for our business model. So I will add try to answer the second question. Yes. So our SME line business there are customers mostly are those -- shop owners like in Chinese [Indiscernible] and our ticket size range from a few thousand to mostly like RMB50,000 with an average around 10,000, is in the range of 18% to 27% and slightly lower than our average borrower. We have seen like better risk quality for these customers on average. We estimate the loss rate to be probably like 1% lower than our standard loans. So the profitability we expect given the slightly lower price their price is little bit lower and also lower delinquency rate. We expect the same risk adjustment margins and the same return. So in terms of yes I think that's probably all the things you are asking right. Thank you. 
Alex Ye: Thanks. That's very clear. Thank you.
Feng Zhang: Thank you Alex.
Operator: The next question is from Jacky Zuo with China Renaissance. Please go ahead.
Jacky Zuo: [Foreign Language] So thanks management for taking my questions. I have two questions. Number one is about the borrowing demand. Just want to check what is the latest trend we see from the borrower side in the first quarter and do you see some additional borrowing demand from end users given we have seen from the news that -- is cutting the credit line for these users. And second question is on the funding side. We see some of our peers exploring the profit sharing model with the funding partner. So just want to check whether what is our progress on the profit sharing model? Thank you.
Jiayuan Xu: [Foreign Language] Okay the demand is very strong based on our loan origination volume guidance in 2021 and also our Q4 loan volume guidance exceeded the top end of our guidance in Q3 and this are due to the support from our old customers and our new customers. 
Jacky Zuo: [Foreign Language]
Feng Zhang: We do not have 100% confirmed data if these users are from the internet drive impact. We are able to indirectly estimate some of the overlaps with other players in the market for example we have conducted, with results reflecting that demand has not been fully satisfied.
Jacky Zuo: [Foreign Language]
Feng Zhang: There is no specific guidance from the regulators regarding the risk sharing model. 
Jacky Zuo: [Foreign Language]
Feng Zhang: From the company's perspective regarding the capital model we need to consider several issues such as leverage ratio, cash position and unique economics, etc.
Jacky Zuo: [Foreign Language]
Feng Zhang: At this moment the risk bearing loan facilitation model is most -- for us.
Jacky Zuo: [Foreign Language]
Feng Zhang: With that being said, this does not mean that capital-light model is not important for us. In fact the capital-light model is one of our powers in 2021 and growing the numbers of institutional partners working with us in the capital-light business remains our top priority.
Jacky Zuo: [Foreign Language]
Jiayuan Xu: As you know we already have over 60 institutional partners working with us and most of these institutional partners operating under the risk free model are also our institutional partners. This is why we believe that we have the fundamentals try and support if we were to venture in the capital-light model with them.
Jacky Zuo: [Foreign Language]
Operator: [Operator Instructions] The next question is from Henry Liang with Golden Dragon. Please go ahead. Pardon me Henry Liang, your line is open.
Henry Liang:  Sorry, just muted. [Foreign Language] So basically congrats, all the metrics, volume, and profitability it's like going so well. Just wonder like can you guys explain what's really decline of the transaction and like all the fantastic metrics. Can you share that what is our core competitors. Thanks.
Jiayuan Xu: [Foreign Language] Okay. First of all we have over 13 years of operating history and if you take a look at two years ago our business is actually going very rapidly but during the past two years we have been occupied with the P2P exit and the upgrade to better quality borrowers.
Henry Liang: [Foreign Language]
Feng Zhang: We manage to transform because the team has the four sides, the ability to execute swiftly and the core capability in the technological management and with all these capabilities we are able to transform the compared to most of our peers.
Henry Liang: [Foreign Language]
Feng Zhang: One for example we have operated our borrowers from the sub that we used to do in the P2P era to the better quality borrowers today. This is not only because of our capabilities in data and lease managements.
Henry Liang: [Foreign Language]
Jiayuan Xu: Hey Henry. [Foreign Language]
Henry Liang: [Foreign Language]
Feng Zhang: Our condition has basically comes to temporary spot and now we are resume our focus on resuming and based on our past track records we have to -- market. We do have the capability to resume growth rapidly.
Henry Liang: [Foreign Language]
Jiayuan Xu: We have also proved to the market area. Our capabilities and technologies are transferable not only in China but also on the international market. And this means that we are able to replicate our experience in China to the international markets. 
Feng Zhang: Hey Henry, I won't add more color. I think there are couple of things. One is our company I think would set us apart from a lot of other players in the market is we have a really strong risk culture. And we put because our emphasis on keeping like the risk at our target level and we don't sacrifice our risk growth. The one thing that I can share is our President, our current President was Chief Risk Officer of the company before I joined the company in 2015 and I joined the company as a Chief Risk Officer and now I am the CEO of the company. So that kind of gives you the color of like how important is risk in our management's focus. And that's why given a good risk track record we have a very smooth access of P2P and we have a very smooth transition to institutional funding model. We also emphasize a lot on technology. We continue to invest in technology as we believe that is the key competitive advantage for long term success in this fintech business and finally we have a very strong team. So I think it is why you see like no, you see like risk is good and growth comes I think it really is a grown work of the result of many years grown work. We set our strategic goal of production for better quality borrowers, for institutional facilitation model more than two years ago. And we are seeing like fruits today and we believe we will see even better going forward. So it is really combination of we think good strategic planning and execution.
Henry Liang: [Foreign Language] So thanks for the very insightful and just very quick follow-up. One it's like what is the total margin of funding cost that we can negotiate with the new funding partners in the current situation and secondly, how much of this growth in our top line volume can be transitioned into the earnings.
Feng Zhang: Okay Henry [Foreign Language] Okay the funding facts, we already have 10 to 15 partners in our pipeline and we believe there is further room for improvement in the funding side. 
Henry Liang: [Foreign Language]
Feng Zhang: However, funding cost is only factor. We will need to consider other issues that just funding partner ability, the level of customers and however, at the current moment our priority is not to have the lowest funding cost but the find the most appropriate partners to support our high quality growth.
Henry Liang: [Foreign Language]
Feng Zhang: Okay we have given our loan origination guidance and we have also given our take rate guidance of around 4% so if you do accomplish you will be able to have a sense of how much revenue we are going to have.
Henry Liang: [Foreign Language]
Jiayuan Xu: However, from top line to bottom line there are several factors influencing these. For example customer is one of them. And we need to recognize this cost up front.
Henry Liang: [Foreign Language]
Feng Zhang: New customer acquisition is not purely a cost for us. If you understand us you know that new customers is required for growth. This is why we view new customers acquisition as a form of investment.
Henry Liang: [Foreign Language]
Feng Zhang: We try to maximize the acquisition of new customers on our side.
Henry Liang: [Foreign Language]
Feng Zhang: Another factor influencing the bottom line is the accounting.
Henry Liang: [Foreign Language]
Feng Zhang: And because of these two situations from top line and bottom line when doing a completion.
Henry Liang: [Foreign Language]
Feng Zhang: However we are too competent to maintain a steady growth in the bottom line trend.
Jiayuan Xu: [Foreign Language]
Operator: This concludes our question-and-answer session. I would now like to turn the conference back over to the company for any closing remarks.
Jimmy Tan: Okay. Thank you everyone for joining our call tonight. If you have any further questions feel free to reach out to the IR team. Good night.
Operator: This concludes the conference call. You may now disconnect your line. Thank you.